Operator: Greetings, welcome to the Eco Wave Power Second Quarter 2024 Earnings Call. At this time all participants are in a listen-only mode. I will now turn the conference over to your host, Aharon Yehuda, Chief Financial Officer. You may begin.
Aharon Yehuda: Thank you. Thank you all for taking the time and joining us to our quarterly webcast. In the first half of 2024, Eco Power continued with its cost reduction strategy, while achieving progress in all key projects, which Inna will discuss following my presentation of the financial results. As a result, in the first half of 2024, we have recorded an operating cost reduction of 1.6%. The main reason for the reduction or the reduction in sales and marketing costs by 29%. As to other costs, R&D costs remain stable at US$320,000 and G&A cost increased by 5%. Other income of $32,000 was generated mainly from grant and from management fees in a joint venture. As a result, our operating loss reduced by 1.6%. Please note that is mentioned in Q1, we have now prepared the company for the execution of the first turnkey project, meaning the sale of equipment to a third-party, which upon execution, is expected to enhance the company's income and threaten its financial position. The company ended the period with $7.48 million in cash and cash equivalents and in short-term bank deposits. I'll now turn the conference over to Inna Braverman, Chief Executive Officer of Eco Wave Power. Inna, you may begin.
Inna Braverman: Thank you for the presentation, Aharon. As Aharon mentioned, in the first half of 2024, we were able to keep the low level of expenses and continue to demonstrate our resilience by decreasing our operating expenses by 1.6% compared to the first half of 2023, ending the year with $7.48 million in cash and in short-term bank deposits. There was also progress across all key projects, including significant improvements in the operational results of the EWP-EDF One project at the Port of Jaffa in Israel, which reached 0% downtime for the very first time and got closer by 17% to its energy generation targets. The company and the project also received the prestigious EDF Pulse Award by Électricité de France, EDF, which is a multinational electric utility company and the largest renewable energy producer in Europe. They're also our partner in the EDF project in Israel. We believe that the winning of this award and this recognition will lead to an extended collaboration with the EDF group. In our part of Los Angeles project, we have submitted the final licensing documents for the installation of the project at the Port of LA, which were approved by the Port of LA and were currently pending final approval by the U.S. Army Corps of Engineers. In parallel, representative, Nanette Barragán and Suzanne Bonamici, introduced a very promising legislation. The Marine Energy Technologies Acceleration Act, which is proposed -- which is a proposed legislation that would appropriate $1 billion to advance marine energy towards full scale commercialization in the United States. Representative Barragán has already visited Eco Wave Power’s installation site in the Port of LA and was impressed by the abundant possibilities for Wave energy implementation in California and in the United States. The Marine Energy Technologies Acceleration Act would provide unprecedented levels of funding to the Department of Energy’s Waterpower Technologies Office for demonstration projects, research and development, detailed resource potential mapping, workforce development and more efficient permitting processes. We are grateful that representatives Barragán and Bonamici recognized the vast potential of wave energy in meeting the United States renewable energy targets and promoting economic growth through the blue economy. The U.S. is becoming a global leader on climate initiatives and this new federal legislation further demonstrates the U.S. leadership across the world. We believe that wave energy has massive potential and we will soon be demonstrating our pioneering technology at the Port of Los Angeles and showcasing that wave energy can be a significant force in combating climate change and powering our communities with clean, reliable energy sourced from the endless power of the ocean. And finally, in July last month, we held an official kickoff meeting for our first megawatt scale project in Portugal, which included a site visit by our engineering team and meeting with relevant subcontractors to advance with the project. We believe that this will be the first wave energy project in the world to show significant energy production from the power of the waves. I truly believe that this revolutionary project will position Eco Wave Power as a leading wave energy developer and serve as a significant milestone towards the commercialization of our wave energy technology globally. We would like to thank the municipality of Porto and APDL for being true wave energy pioneers by enabling and supporting the development of an innovative, environmentally-friendly energy generation technology, which will serve to lower the port’s carbon footprint while creating new workplaces and an innovative industry in Portugal. At the same time, we have reinforced our engineering team by adding two members and are in the process of establishing a U.S.-based sales and business development team to enable the company to enter into deals for turnkey wave energy projects, which we believe will in turn significantly boost the company's revenues in addition to the revenues that the company has been generating from feasibility studies and other related engineering services. The expansion of our engineering team in Israel and the new business development and sales team in the U.S. are well on their way, and we believe that such enhanced company structure will lead to positive financial results and accelerated project delivery. Lastly, we're excited to update that we have recently received a green light to commence our American Depository shares repurchase plan, and we are working on setting the appropriate arrangement with a bank to pursue such opportunity. We believe that our ADS repurchase plan will allow our leadership to have a greater scope to act and have the opportunity to improve the company's capital structure, driving greater shareholder value and improving the investment value of our company. Eco Wave Power is entering a very exciting period, which will involve an expansion of our team, expansion of the company's operational projects, expansion of our revenue streams and strategic partnerships. I would like to reiterate our gratitude to our shareholders for joining us on this exciting journey. We look forward to sharing more exciting progress. Thank you very much.
Operator: Thank you. This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.